Operator: Hello, and welcome to the Rémy Cointreau H1 Results Call. My name is Saska, I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now hand you over to Marie-Amelie De Leusse, Chairwoman, to begin today's conference. Please go ahead.
Marie-Amelie De Leusse: Good morning, everyone, and thank you for being us this morning for R�my Cointreau's first half results. I am here with �ric Vallat, our CEO; and Luca Marotta, our CFO. Both of them will, of course, take you through the detailed results. Despite a continued challenging global environment, we have stayed focused on our long-term vision, which remains our guiding principle. Our approach this semester has been to preserve the unique DNA and core values that define our brands while ensuring consistent pricing strategies and cost discipline. We have remained vigilant in seeking out opportunities for growth, exploring new areas that align with market demand and continuing to innovate with high-quality products. These efforts aim to strengthen our position in the premium spirits industry and prepare ourselves for the recovery. Moreover, we have prioritized rigorous and agile cost and cash management to maintain financial stability during these uncertain times. As we navigate the complexities of this period, our focus is on ensuring long-term growth, while protecting our heritage and brand integrity. Today, we will share with you our key financial highlights and strategic insights, illustrating how we are addressing current challenges and preparing for future success. I will now let Eric take you through the H1 business review. Eric, the floor is yours.
Éric Vallat: Thank you, Marie-Amelie, and good morning. And it's better with the mic indeed. Thank you, Marie-Amelie. I will begin with a quick overview of H1 '24-'25. Luca will then, as usual, detail our financial results, and we'll conclude by giving you an update on the group situation and the outlook. Let's begin with a review of our business performance for the first half and now on Slide 5. Group sales totaled EUR 534 million, representing an almost 16% organic decline compared to the same period last year. While this reflects the broader macroeconomic challenges, we have taken steps to mitigate the impact by adjusting our operational priorities. As a result, COP stood at EUR 147 million, down 17.6% on an organic basis, leading to a margin of 27.6%, up 1 point as reported, including a slight decline of 0.5 points organically. This relatively good resilience reflects, first, on one side, a slight erosion of the gross margin of 1.4, impacted by cost production inflation and compared to a record level. At a level of 72.5%, gross margin is still up 3 points versus H1 '19/'20. Second, A&P expenses were reduced by 1/3 versus last year, now accounting for 18.4% of sales, reflecting a more targeted and efficient approach to brand investments. We have obviously taken measures in the current context, making sure to keep the right balance. Following 4 consecutive years acceleration, A&P is posing, but from a high level, A&P are still up 25% versus pre-COVID. And third, OpEx.  OpEx decreased by 6.8%, highlighting our commitment to streamlining costs while maintaining operational excellence. These numbers reflect the dynamic challenges of the current market, but they also demonstrate the resilience of our operational strategy. As we move forward, we will continue to focus on strategic investments and explore all innovative opportunities to foster growth recovery and maintain our competitive edge. Let's now focus on the Cognac division, profitability whose key figures are summarized on Slide 6. Current operating profit was down 17.9% on an organic basis, which led to an increase of the margin of 2.1 to 37% on a reported basis. This breaks down into a stable organic performance and a positive currency effect of 2.3 points. The organic performance reflects at first a slight erosion of the gross margin, down one point, mainly resulting from the COGS inflation and, to a lesser extent, an unfavorable mix effect mainly due to the product mix. Price contribution was flat, which is already a good achievement in the current promotional environment. This has been offset by a tight management of costs, including A&P and overhead costs. Nonetheless, A&P ratio are still up 3.3 versus pre-COVID, and price consistency over time is contributing like A&P to brand equity interest of the trade and our clients. Let's now have a look at the Liqueurs & Spirits profitability division, whose key figures are encapsulated in Slide 7. Current operating profit retreats by 3.3% on an organic basis, representing a margin of 16.5%, up 1.8 as reported. This performance reflects an organic increase of 1.5 points alongside a favorable currency effect of 0.4. This evolution includes a deterioration of the gross margin by 2 points against a high base of comparison. As a reminder, it was up 2.5 points last year and impacted by negative COGS evolution as well as a negative mix contribution. In the meantime, we reduced the A&P ratio by 5 points, but again, ensuring that we kept a decent level of investment. A&P grew by almost 45% versus pre-COVID, so clearly outpacing the Cognac trends. Finally, structural cost ratio was up 1.6, but down 6.9% in absolute value -- in absolute terms, sorry. Let me now give the mic to Luca, who will take you through the more financial slides.
Luca Marotta: Thank you, Eric.  Now let's move on the detailed analysis of the financial statement, as usual, every 6 months, starting with the H1 income statement, profit and loss. As previously mentioned, organic sales were down by almost 16%, 15.9%, but up plus 1.5% compared to H1 of 5 years ago. Based on this, gross profit decreased by 17.5% in organic terms, implying 1.4 -- 140 basis points of deterioration in gross margin, but this still represents a strong improvement of 3 points on a 5-year basis. This H1 performance reflects an unfavorable evolution in COGS and, to a lesser extent, a negative mix effect. Pricing contribution in this period was more or less neutral. Sales and marketing expenses were down about 21.8% organically. While we have reduced some investment in the current context, spending remains well above pre-COVID levels, i.e., plus 13.2% versus H1 '19/'20. But inside this line, we have to split between A&P expenses. They were down 29.2% organically, representing 18.4% of sales. That means an organic increase of the weight of the A&P of 3.5 points over a 5-year period. As part of our optimization efforts, we increased the share in the short term of below-the-line spending relative to the above-the-line during the period. Consequently, total spending was split equally 50-50 between above-the-line, so I remind you, traditional media, digital and PR and below-the-line. Additionally, digital overall represented more or less 60% of the above-the-line. So by the fact that above-the-line and below-the-line is 50-50, around 30% of our total A&P spending more or less the same weight of last year, was digital. The second part, the second soul of this line is distribution costs, which decreased by 10.8% organically, mainly due to the restructuring efforts in the U.S. and Europe that we started and we announced last year, as you remember. They are generating savings this year as planned. Over a 5-year period, these costs are essentially flat in absolute terms. There is another line, which is administrative expenses were almost flat on an organic basis, reflecting a series of overhead cost optimization in the period in response to answer to the current economic condition, which I will detail shortly. But on a more broader basis, on 5 years, this line has increased plus 8.4%.  Why?  So more than the top line dynamics.  Two main reasons.  First one is data mining teams and digital transformation CRM investment that were not there 5 years ago. So new capabilities to the group that if the cash is king, data is queen. And second point, investment in brand cost for ancillary brands that need to be there to be able to give the incremental sales that they deserve in the future. So overall, the current operating profit was down 17.6% organically and 12.9% on a reported basis after accounting for a positive currency impact of more or less EUR 8 million, EUR 7.9 million. That's very important because as you can see, dynamics in the first half of the operating profit in terms of marginality, in terms of profitability, are different between published figure and organic figure. COP margin stood at 27.6%, up 1 point as reported and showing a slight decline, okay, more or less flat, we can say, of minus 0.5% organically. The sharp decrease in sales or the top line, minus 16%, more or less, alongside the slight decline of the gross margin were almost offset by significant important cost reduction. Now let's take a look at the group's current operating margin in terms of bridge, Slide #10. It was up 1 point as reported, reaching, as said, 27.6%. This breaks once again, into a slight organic decrease of 50 basis points, 0.5, and a positive currency effect of 1.6 points. Let's focus on the organic evolution of the current operating margin, which largely reflects the deterioration of the gross margin, which remains at plus 3 points higher compared to 5 years ago and the same period. This was almost offset by a reduction in A&P spend, but once again, at the level still much higher than pre-COVID times, along with further optimization and cuts on distribution and structure costs. In more details, gross margin down 1.4 compared to last year, impacted by inflation COGS and unfavorable mix effect.  Why?  The underperformance of Cognac versus Liqueurs & Spirits and the high-end segment in China. Pricing was more or less stable over the period in terms of gross margin impact, reflecting our strategy even in this very complicated time in term of pricing environment to remain firm and consistent in the long term. Second element to highlight is the A&P ratio, which decreased by 3.4 points, primarily due to the optimization effort like we have explained and prioritizing BTL spending over above-the-line. While we have made these cuts, the reduction relatively modest, minor compared to the significant acceleration in spending over the past 4 years. And A&P spending is still up. Once again, it's very important, 3.5 points versus H1 '19/'20. The top line is much more assisted by A&P investment now than 5 years ago. Third point is the ratio of distribution structure cost was up 2.6 points, so negative in terms of marginality, but a decrease of EUR 10 million, EUR 10.3 million to be precise, in absolute terms, reflecting savings -- very strong savings related to the organization project last year, coupled with excellent cost control efforts to mitigate the impact of the sales decline. But alas, the sales decline is clearly bigger than this effort. Moreover, the more or less flat organic margin, minus 0.5, includes another round of cost savings totaling in the H1 EUR 42 million, of which 49% were one-off, so they will come back and 51% were structural savings that will last forever. This saving -- gross saving can be broken down as following: manufacturing, industrial and logistical savings, more or less 4% of total savings or minor; A&P optimization 52% and overhead cost reduction, 44% of total savings. Clearly, this amount, as you can see, is not far from our year-end target of plan -- additional plan of EUR 50 million. So I anticipate your question that might be, but why? It's important to consider the phasing of last year performance in terms of phasing. Most of the savings, EUR 145 million, were achieved in H2, EUR 25 million in H1, EUR 120 million in H2. So meaning  that cost comparison in H1 was quite high. It was easy to match with the lasting effort made last year in the second part of the year and the first part. Additionally, we must ensure we are ready for the recovery phase, and we expect that's very important to increase A&P spend in H2 to assist, support peak season in both U.S. and China and also in major EMEA countries. They need to be there to speed up depletion as a spark weighted -- so much weighted park to the top line. Slide #11 now.  Let's move to the remaining part and items of the income statement. In H1 '24-'25, the operating profit included almost no other noncurrent income of expenses. Financial charges increased as expected and less than the guidance, if you want, from EUR 15.7 million to EUR 21.1 million, but I will go into more detail on this on the next slide. So a bit of your attention here in terms of reported tax rate, which increased from 26.6 last year to 27.5 reported, mainly due to the changes in geographical mix. But it's important also to talk about the future, not only H1, because at this point, it's too early to give an ultimate outlook for the year. As you know, French government is still finalizing its position for what will be the impact for this fiscal year, the next. We expect more clarity in the coming weeks. The profit before tax for the French base representing for R�my Cointreau Group more than 50% of the total or the profit before tax. But let's imagine this is voted and excluding any potential positive impact on deferred tax assets, we anticipate an increase of about 3 points on the normative group tax rate based on our initial budget expectation. So what does it mean? We expect a normative group tax rate of around 31% if this is voted, meaning in absolute value, EUR 5 million to EUR 6 million more in terms of impact compared to 28 previously on a full year basis. In that case, for this year, if it's voted, there will also be a positive noncash deferred tax asset impact of around minus 5 points, meaning EUR 7 million to EUR 8 million positive in terms of profit and loss, noncash, which will determine a partial group tax rate of around 26% at the end of the year. In a nutshell, after this all up and downs, we expect tax rate to land, if everything will be voted to the French government, for the group at around 26%, including 5 more points of positive one-off and 3 negative linked to the additional taxes that will hit the company if it is voted. These 5 points of positive one-off will not be there next year. So that's the reason why if it is voted will be considered as a tax element, but no recurring element of positive element for the profit and loss. As a result, net profit group share came in at EUR 92 million, down 18.6% on a reported basis, meaning a net margin of 17.2%, down 0.6 points compared to the previous year. EPS for the semester came out at EUR 1.8, down 19.4%. Now let's analyze the free cash flow generation slide, which is very important, and the net debt evolution, Page #12. Free cash flow was negative at minus EUR 7.6 million in H1 compared to minus EUR 99 million in H1 of last year. This evolution reflects a meaningful decrease in EBITDA, but partially offset by 3 major factors. First of all, a decrease of the other working capital items outflows, meaning that you can see that in the spreadsheet, a positive variance effect of EUR 56.8 million compared to the previous year, while the working capital outflow related to eaux-de-vie, spiriting in aging process, so the more strategic part of the working capital, was slightly up for EUR 2.6 million. Overall, the global working capital evolution reflects, one -- I think it's just in French, it's in English. A lower increase of our stocks compared to H1 '22, '24 in terms of finished goods, Cognac eaux-de-vie, age liquids and raw material packaging element considered the current context. And second, that's very important, decrease of the level of the account receivable compared to H1 '22, '24, meaning an indirect inflow of EUR 36 million in line with the activities slowdown. I anticipate your potential question, this is not on drags linked to the factory increase because this year, we factored EUR 74 million against EUR 104 million. Second element to explain this offsetting point compared to the slowdown of the EBITDA is the decrease of EUR 60.4 million of the tax outflow, reflecting lower net result and a tax refund related to other payments that made in previous year in terms of anticipation prepaid taxes, expecting to have a bigger net result in the future. This is not there, so there is a refund, which should not be there in cash in the future. On top of these 2 components, I want to highlight the CapEx outflow was done EUR 19.1 million, as expected, as guided, and considering the optimization action that we decided to protect cash and at the same time, to continue to fulfill and to respect our strategic journey in terms of CapEx. In parallel, other cash flow inflows decreased by EUR 32.2 million. This was largely driven by the absence, lack of redemption of the existing remaining OCEANE convertible bonds this year compared to the previous year. As a reminder, we recorded debt-to-equity conversion last year of around EUR 51 million, EUR 50.8 million. As a result, all in all, end of September 2024, our net financial debt stood at EUR 644.3 million, down by only [ EUR 5.4 million ] compared to March, but -- which is still a very good result considering the P&L dynamics. Consequently, A ratio is up from 1.68 in March to 1.90 in September 2024. And compared to September of last year, net financial debt increased by EUR 53.8 million and A ratio increased from 1.57 to 1.90, still in September 2024. Slide #13, a few comments on net financial expenses, which amounted, as said, to EUR 21.1 million in H1 '24/'25 compared to EUR 15.7 million in H1 of last year, so up EUR 5.4 million. Net debt servicing costs were up in absolute terms, as a result, as a consequence, of the 12 months integration of EUR 380 million private bond issuance last year, which has an average 10-year maturity and a weighted interest rate, I remind you, of 5.58%. As a reminder, we issued this bond in September 2023. As a consequence, our cost of debt for this part increased from 2.97 to 4.17.  It was guided.  It was forecasted, as you remember. Net currency expenses in this line decreased from a loss of EUR 1.4 million last year to EUR 0.5 million this year primarily due to the hedging of intra-group intercompany financing. And last but not least, other financial expenses stood at minus EUR 3.9 million in H1 of this year. For this year, in terms of guidance for the full year, we expect our financial charges line all increase by less than EUR 10 million, reflecting the full year integration of EUR 380 million bond. So last year, the full year was EUR 38.5 million, So we expect something less than EUR 48 million, as said, very clearly, which is something better than the previous guidance. Let's now move on the impact of the currency hedging, a bit technical, but still very important. The group reported a negative translation impact of EUR 1.6 million on sales, better than expected, and a positive transaction effect of EUR 7.9 million on operating profit in H1. This mainly reflects the evolution of U.S. dollar because it was positive on the bottom line. Others minor currency were contributing as well. And Chinese yuan was more or less flat to slightly decline. Digging into details, the average euro-dollar conversion rate was stable over the period at 1.09, while we recorded a deterioration of the Euro/renminbi translation which came out at 7.84 in H1 '24/'25 compared to 7.77 last year. But on our average hedging rates, so not the conversion, so the policy of the company of cover net needs, improved for the dollar from 1.12 to 1.07 in H1. That's the main reason of the gain. And improved as well in terms of hedging for the RMB Chinese yuan from [ 7.76 to 7.66 ] this year. So hedging rates better -- far better of the conversion rate. But this is the past. Looking at our forecast for this year to help you to model your figures. Assuming a conversion rate of 1.09 on euro/dollar, and 7.84 on euro/RMB, as well as an hedging rate of 1.08 on euros/dollar and 7.76 on Chinese yuan. We anticipate, as described in the guidance, between minus EUR 4 million and minus EUR 8 million on sales, mostly driven by a negative effect in the H2 and between plus EUR 5 million and plus EUR 10 million positive on COP on operating profit, mostly driven by the positive effects that we account in H1. As you can read on the slide, the ForEx sensitivity by currency is clearly explained. And as the evolution of the euro-U.S. dollar exchange rate also remains very volatile, we'll continue to share with you an update every quarter. At this stage, for this year, '24/'25, we already covered 80% of our net U.S. dollar exposure, of which still around 40% of options are there. On RMB as well, we covered more or less 80% of our net Chinese RMB exposure. And once again, around 40% of option that gives some flexibility in our final hedging result, almost finished. My favorite slide, the last one, which is the balance sheet overview and dynamics. Total asset and liabilities stood at EUR 3.37 billion, down EUR 170 million compared to last at the same moment. On the asset side, global inventory increased by EUR 134 million to reach more or less EUR 2 billion, EUR 1.97 billion, due to the purchase of young eaux-de-vie, increasing our inventory levels, given also the current context. Inventories now represents 58% of our total assets, up 6 points compared to last year. And on the liability side, we have the shareholder equity, is up by EUR 122 million, mainly driven by the net income, partially offset by the payment of the dividend related to the fiscal year '23/'24. Net gearing, so the group indicator net debt to equity ratio was slightly up over the period from 33% to 34%, reflecting the increase of our financial debt.  Thank you so much.  Eric, the floor is yours.
Éric Vallat: At the same time, we will continue to sustain -- this is the second column of the chart, but we will continue to sustain the momentum on 1738, among which our sponsorship of Usher and North American very successful tool offers a unique platform to connect with our core audience and extend our reach, as 1738 is a great tool to recruit. Innovation is also at the heart of our strategy. Initiatives like Xo Night and to create new consumption occasions, tapping into evolving consumer behaviors and recruiting new clients to the franchise. Additionally, our new Remy V offering with a new bottle and a new liquid at 35 ABV is tailored to appeal to younger female and white spirit drinkers. It will ultimately contribute to brand awareness, help increase brand footprint in on-trade and educate to spirits. With its competitive pricing and fresh branding, this product is an exciting addition to our portfolio. The launch has begun in Florida and California this October with a strong focus on-trade to drive mixology on a unique cocktail recipes, the national expansion is planned by 2025. In summary, it seems we've reached the bottom in the U.S. Early signs of recovery in Cognac are emerging indeed. We must continue our efforts to protect profitability, but it is also time to prepare the recovery by revitalizing our foundation supporting our core business and recruiting new customers. In parallel -- and this is Slide 19, depletions in Liqueurs & Spirits divisions are resilient even in the face of tougher market conditions. This translates into low single-digit percentage growth in value depletions in Q2 and confirms the relevance of our brand portfolio and of our execution, as we are overperforming the market and gaining market share. Cointreau, one of our flagship brands has been a key driver of this access. Value depletions for the brand are up an impressive 80% compared to '19/'20 and positive currently in October and November. The brand has solidified its position as the #1 branded spirit in core cocktails over time, closing the gap in total volumes with its top competitor. We are preparing to capitalize on the upcoming holiday season with a solid H2 marketing plan focused on the Cosmo and the Margarita designed to sustain this positive momentum and drive consumer relevance. It will include a new campaign called Cosmos and Caviar, which hinges around the influencer Danielle Zaslavsky. And more importantly, we are working and investing on a new nationwide campaign to be on air in Q1 next year for Cinco de Mayo. Similarly, the Botanist continues to expand its reach with innovations like the new Distiller's Strength release coming after the launch of rested and aged. It also builds on targeted partnerships, including collaboration with the major pickleball and the association of pickleball players. These efforts are opening new occasions for brand engagement, reinforcing its premium positioning and appealing to a wider consumer base. As a result, the Botanist depletions are up high single digit in H1 and even accelerating currently, representing an increase of almost 100% on a 5-year basis. On Bruichladdich, to mitigate category headwinds, we are rolling out our largest ever holiday activation plan. This includes delivering more tools and programs to 100 certified retailers aimed at driving increased education and activations, particularly during the O&D period, which remains a critical driver for our business. The category, as well as Bruichladdich are currently declining, and we expect to revitalize this trend. Depletions are still up 75% on a 5-year basis and improving sharply in Q3, thanks to the launch of Octomore new release, 1 of the most heavily peated ever. In a market showing high promotions for O&D season, these efforts reflect our commitment to maintaining good momentum through thoughtful investment in our brands, strategic partnership and bold marketing initiatives. On Page 20, to conclude on the U.S. market, I would like to highlight a few key points, while the overall U.S. market remains under pressure, a closer analysis of our portfolio performance reveals encouraging signs of recovery or at least stabilization, which reinforce our confidence in the effectiveness of our strategies focused on protecting value in the long run. Our key brands are beginning to outperform their respective categories. Even Cognac, while still in a negative territory, over the past 12 months, our Cognac sales were down 22% compared to a minus 16% decline for the category. However, the pace of decline has slowed over the last 3 months with R�my Martin down 12% versus 15% drop for the category, which for us reinforces the idea that our pricing policy is correct. And we see a continued improvement, while still in a negative territory in Q3. In controlled states, we are seeing additional positive signals for Cognac over the past 24 months. Volumes in these markets have steadily improved with depletions showing a sequential upward trend from Remy Martin through September 2024, according to NABCA data. A similar trend is net for Cointreau, which is showing solid acceleration over the past 12 months. Since the beginning of the year, depletions are back to positive. Finally, the Botanist, which is outperforming its category and has experienced a strong acceleration since the end of the summer. This performance is largely driven by targeted activations and innovation and growing consumer demand. While these developments are encouraging, we remain realistic about the pace of recovery and short-term challenges, particularly in selling. The challenges in the U.S. market are far from over and the road to stabilization and recovery will take longer than initially expected. However, the data clearly supports our belief that our efforts are yielding results with solid signs of improvement across our core brands and markets. I do like a gap.  I'll have a drink of water, as you like to say, Luca. And now on Page 21. China remains a challenging, yet essential market, of course. Although volatility persists, we are leveraging our strongest assets to adapt and thrive. The Chinese market is not as dynamic as it used to be, but our performance demonstrates the resilience of our brands and the strength of our strategy. While depletions showed slight growth in Q2, an amazing performance in the context, we anticipate continued lack of visibility and heightened volatility into the second half of the year. To navigate these conditions, we are leveraging our strength. First, e-commerce, which now represents 25% of our sales in H2 -- in H1, sorry, a testament to our leadership in this channel. During Double 11 festival, R�my Martin outperformed again targets with double-digit sales growth, reinforcing its position as the #1 brand across all platforms. By fostering tailored offerings with local-driven innovation and maintaining a rigorous pricing strategy, we are turning e-commerce into a robust growth engine for us. Second strength, Remy Martin Club. It's also central to maintaining resilience. The brand continues to drive performance. Depletions were up mid- to high single digit in Q2 for MAF, benefiting from strong presence in off-trade channels, including banquets and a lower exposure to the on-trade market. Our focus on brand rejuvenation through smart collaborations like with the Shanghai Fashion Week [indiscernible] Club remains highly relevant to Chinese consumers. By fostering loyalty through targeted campaigns and rigorous pricing, we aim to protect our premium positioning. And we are excited to share that Remy Martin CLUB will be the hero of the last episode of the very successful and buzz worthy series from Wong Kar-Wai, Blossoms Shanghai. One more success to celebrate at the House of Remy Martin, which will open in December in Shenzhen, a very dense program to come, as you can see. Third, after e-commerce and club harnessing CRM and data platforms, we enhanced our omnichannel approach by integrating data insights into our marketing strategies. Our CRM platform enables us to target first-time buyers across all brands, driving conversions while building loyalty for key products like Remy XO and Cointreau. This capability is critical to maximize our presence in both direct-to-consumer and wholesale channels. And last but not least, a topic -- this topic I just addressed of CRM and data platform gives me the opportunity to conclude this chart with the fourth strength still in the making, but already proving resilient in the context [indiscernible] new business model focused on D2C activities, meaning private client directors, e-boutiques and, of course, retailing prestigious malls next to luxury brands. As you can see on the slide, the share of D2C has increased to more than 70%. We achieved better trends than most luxury brands in these malls, thanks to more innovation and 13 tools created to support sales from personalization to tailor-made events. We managed to grow sales during MAF period and November is also delivering. Having said that, the growing share of D2C for [indiscernible] is not only due to its better resilience, it is also explained by a sharp decrease of our wholesale activities. The direction is not challenged, but it takes more time than expected to embark the trade preferred partners, so the wholesale towards a more CRM-driven approach. I could have had another strength, which is the strength of our team. And -- but this has been said by Luca, I think previously a number of times. So despite the short-term challenges, and there's not much we can do about it, it's the global environment. We are confident that these strategies position us to navigate volatility effectively while capturing opportunities for sustainable growth. One last word on the MOFCOM and the China duties, which will be potentially part of the challenges that we will have to face. With the introduction of 38.1% provisional tax duty, we are working on a comprehensive mitigation plan, including price adjustments, cost efficiencies, reorganizing operations to sustain competitiveness, while safeguarding our talented team. This is too early to quantify, but we will, if the provisional decision is confirmed. And as a reminder, the impact for this year is minimal. The Slide 22 shows that beyond addressing immediate challenges, we are committed to building a robust foundation for the midterm with a clear focus on better balancing our business. External growth could be a key contributor in the years to come, but we also make sure we focus on our existing business with 2 clear priorities. One, expanding beyond Cognac. As shared in 2020, the expansion of Liqueurs & Spirits is a key driver of our diversification strategy. In 5 years, we have achieved great results with Cointreau.  The Botanist has also grown fast, and cherry on the cake has become accretive from a gross margin standpoint. We know the way forward for these 2 brands, and we will keep on pushing for more volumes through awareness, desirability, innovation and distribution. While volumes have increased sharply, there is still room for more. China is now on the map, as we see the interest for these categories growing, and we are well positioned with a great team and a great e-commerce expertise, thanks to our historical presence in China with Cognac. And two, exploring growth opportunities outside of existing markets. We are also working on geographical areas, which remain untapped. For Cognac, even if -- even in China, there is room to grow beyond Guangdong and Fujian. And while streamlining our cost structure there, potentially in the future, we will make sure we allocate more means to the West and to the Northeast. Nigeria and South Africa also displaying a real potential for our Cognacs, specific plans, which cannot be disclosed yet, are in progress. For the rest of the portfolio, it is a world of opportunities. It will take time, and it is about seeding sometimes, but we are now proactively working on leveraging the potential for Cointreau and the Botanist in Brazil, St-R�my and the Botanist in India, for instance, as surveys show that they do have a great potential there. Lastly, we are currently optimizing our routes to market in many countries, which have been left aside for a long due to their small Cognac potential. Again, this will take time, but the beauty of the headwinds is that they force us to reinvent ourselves. On Page 23, a quick word on A&P and innovation. As already mentioned, we are reinforcing our efforts this year to manage carefully our cost basis with EUR 50 million cost saving plan. However, it's essential that we do not lose sight of our goals. And in that respect, the time has come to prepare for recovery. This is why we plan to begin in reintroducing targeted investments in marketing as early as H2 to support peak activity in both the U.S. for O&D and China for CNY, and to prepare next year, as I hinted, for example, on Cointreau in the U.S. In this respect, most of A&P savings have been achieved in H1, and we expect to sequentially increase our A&P ratio in H2. In parallel, we intend to the same pace as in '23, '24 in terms of product innovation launches this year. This is important for 2 key reasons. First, it drives brand desirability and second, it is expected to fuel our growth in '25/'26 with a full year impact. And when we talk about innovation, this goes beyond just new products. Innovation, in our view, extends to various areas, including CSR, customer experience and the digital tools that support these efforts. In that respect, I'm happy to introduce RC Ventures, our newly established corporate venture capital fund, and to highlight its first investment in EcoSPIRITS. EcoSPIRITS is a pioneering startup in the circular economy space focused on reducing carbon emissions through innovative solutions. They might shape the future of our industry, and this investment is a natural progression of our operational partnership with EcoSPIRITS, which began in 2022. Through RC Ventures, we aim to support high potential innovative start-ups that align with R�my Cointreau's values and vision within the broader wines and spirits industry. The fund will provide these emerging companies with both financial backing and access to our operational expertise, while our global teams will lend their support, we are committed to preserving the autonomy and the entrepreneurial spirit that are crucial for these startups to drive value. Beyond stimulating our sales performance, we have decided to further focus on cost management, I'm here on Slide 24, to mitigate the current headwinds. As mentioned during the Q2 sales update, we are aiming for another round of optimization, targeting over EUR 50 million in savings. Given the tough market conditions, we have no choice but to protect our cash through these cost optimization efforts. Having said that, we are ensuring that we maintain a good balance between the need for optimization and the protection for future growth. At the same time, we are beginning to prepare for recovery in H2 and are gradually -- well, now the slide appears, and are gradually reintroducing some A&P investments. Additionally, our goal is to maintain a higher A&P to sales ratio compared to pre-COVID levels, achieving this by optimizing our spend rather than simply cutting it. Let me clarify that we mean by one-off and structural savings, specifically for A&P. The meaning is slightly different from last year. Our approach to A&P is driven by a strategic conviction. We must invest behind our brands to fuel future growth, but also by an opportunistic pay-as-you-go mindset. As a result, structural savings in A&P are expected to last at least until next year, which will be the first year impacted by the MOFCOM decision potentially, while one-off savings will be reinvested as early as beginning next year. First, A&P will account for around 70% of the total savings. This includes 50% of one-off savings spread across global markets with an emphasis on the U.S.  market short term.  The goal here is to protect BTL spending, while being more selective with ATL investments and 50% of structural savings. Second, overheads will account for 25% of the total savings, of which 60% to be structural and 40% one-offs, including cuts to T&E expenses. Finally, manufacturing and logistics savings will represent 5% of the total savings and will mainly be structural. I am now on the last slide. To conclude, I would like to reconfirm the guidance that we updated end of October, I will not detail the underlying assumptions that you already know. However, now that we have finalized our revised budget process, I would like to quantify our full year guidance. Basically, for this year, we expect sales to decline organically between 15% to 18%, and we expect to land between 21% and 22% of COP margin in organic terms, meaning excluding ForEx. As I said last October, this '24/'25 guidance takes into account of the recent MOFCOM decision based on the information that we have as of today. And the impact on P&L is marginal for '24/'25. Lastly, we reconfirm our '29/'30 midterm guidance. There we are, I would like to thank you for your attention, as it's already 9:55, and we are now prepared to take your questions.  Thank you.
Operator: [Operator Instructions] And first up, we have Sanjeet Aujla from UBS.
Sanjeet Aujla: A couple of questions from me, please. Firstly, can you please comment on how you're seeing the pricing environment at the moment, both in the U.S. and China, particularly amongst your competitors? Are there any signs of stabilization there? And secondly, just coming back to the VSOP plan in the U.S., �ric, you spoke about this quite a bit back in June. Can you just give a bit of context on how progress has been so far versus expectations? And when do you think that plan will be fully executed in the market?
Éric Vallat: Thank you.  So first, the pricing environment, is it improving or stabilizing? It's too early to say on the pricing front. And I think we should distinguish China and the U.S., and we should also distinguish the SKUs. If you take the U.S., you still see competition being aggressive on pricing. But having said that, I am probably even more convinced than last year of the pertinence of our strategy because we've been struggling indeed in the past few months, probably more than competitors, but we now see the gap narrowing, and we've been protecting value in the meantime. VSOP and well, the VS and VSOP segment is still subject to aggressive pricing, probably more than the 1738 segment, where on top, we have a specific brand and where we see a much better resilience, by the way, of our volumes. On XO, you see also some aggressiveness more recently. And to be transparent to you, while we are the leader on VSOP, and we believe it is our job to make sure that the pricing is consistent. On XO, of course, we are not the leader, and we are probably more looking at what competition is doing and also adapting to this. So it really depends on the SKUs, but still aggressive pricing. And I don't think this will soften with O&D coming. That's why we are coming in O&D with a very intense plan to support sales. In China, it's different because the price aggressivity can be at trade level, can be at end-client level. And there is still pricing aggressivity, I would say, probably more at trade level than at end-client level. On our side, I think that in China, we are lucky enough to be able to rely on our expertise on e-commerce and a strong desirability for Club to support our pricing strategy while managing, and I said it for Mid-Autumn Festival to have a slight even increase of our volumes, particularly on Club. I'm speaking retailer depletions here. I'm not speaking our sales to the wholesale as they are impacted by current cash tensions. VSOP plan, it's -- maybe I should have been more clear at that time, but I think you can imagine that when you relaunch an SKU brand that had been a bit left aside for 3 years, it doesn't happen in 6 months. It's going to take 1, 2, 3 years. It's going to take time. So because there are things that we do, which have an immediate impact like some local activations, the repricing, but the repricing is taking time. Repricing is too strong. It's positioning it, as you know, at $49.99, which is below the $50 threshold, which is more a kind of slight adjustment, but which we believe can have an impact. Where we did it, we saw an impact, but it's not yet rolled out full speed everywhere, plus the communication and activation part is still an ongoing process. Now as to the results, we see, as I said, our depletions improving. They are much better than sell-in sequentially. VSOP is still lagging behind, but it's also improving sequentially. I think the semester to come will be critical. Of course, what will help also in particularly in Q4 will be also the comps that will make it much easier for us to achieve a better relative performance.
Operator: And our next question comes from Edward Mundy from Jefferies.
Edward Mundy: A couple of things for me. First, �ric, you're talking about being ready for the recovery phase. What are you -- I mean, [Technical Difficulty] is still quite low. What are the things you're looking at with regards to the specific category and your business that's giving you confidence to the [Technical Difficulty] lever as you go into the second half? The second thing is on your medium-term guidance where you're maintaining your 32% margin, which based on where you're going to end up at the end of this year, implies at least a 50% uplift in COP and that's before you include any revenue recovery from here. Could you provide a bit more color, Luca, in terms of how you're thinking about that bridge and what are the key sort of things? And then just a final question. I think the market's obviously seen quite a big shaving of earnings estimates after the super cycle with the COVID hangover. I guess the key question is really, do you think this is the last cut based on the level of destocking having been finished as we get through the end of fiscal '25 and as you look to the recovery from '26 and beyond?
Éric Vallat: So I'm sorry because the sound was rather poor and I'm the best -- not the best English-speaking person. Just Marie, just to make sure I got it, the first question. I'm not sure, can you repeat the first question, sorry?
Edward Mundy: Yes.  The first one is what gives you confidence to be ready for that recovery phase? And what are you seeing that's giving you confidence to increase your A&P as you look to the back half of this year and into the future?
Éric Vallat: Okay.  For the first question, and we might ask you to repeat second and third as well. But for the first question, to make it very simple. First, we are indeed reinvesting A&P, but in a very measured approach. It's not like A&P are going to boom like in the past 3 years. This is controlled. And you know the beauty of A&P is that you can cut easily, voil�, should things not happen as expected. Second, the confidence comes, to be honest, first, from easy comps. But here, we should distinguish sell-in and sell-out. If you take the U.S., for instance, we expect a rather poor sell-in in Q3 compared to last year because I don't know if you remember, but last year, most of the sell-in was made for the second semester, was made in Q3. But on the opposite front, we expect Q4 to be positive from the first time since long. And what is more encouraging is the depletions, which are still better than sell-in. So we are destocking. Are we destocking fast enough? No, we would like to destock more and quicker, of course. At the same time, we see, as I said, an improvement of the trend sequentially quarter after quarter. And this, coupled with the easier comps, we believe that we have the potential to, let's say, start growing again in the U.S. almost for sure on sell-in next year and even in depletions potentially. Of course, it's too early to say, and it's hard to say when, but it's coming. It's coming for a number of reasons, including our poor performance in the past, but not solely. And because we have adapt our cost structure to this new environment, as soon as it reverts, there are means we'll be able to release. And lastly, don't forget that our stocks are indeed still below 5 months in the U.S., for instance, which is still a bit too high, but much less than in the past, but they are very small in absolute value. So the day it starts to revert, we should have an impact, which should be exponentialized.  So question 2...
Luca Marotta: Question 2 was related to the fact if you ended at 21%, 22%, how it's possible to reach 33%, 72% in terms of compounders, what are -- what is your vision, Mr.  Vallat?  I'm asking you the question.
Éric Vallat: Thank you, Mr.  Marotta.  This is a very good question, by the way. No, so on this question, which is a good one, of course, and you could add that MOFCOM is asking a level -- is adding a level of uncertainty should it be applied. For me here, the main challenge, in fact, is not the relative value. It's not the 72% margin or the 33% COP. Reason being, we spent the past 2 years optimizing our cost structure, things we would not have done, by the way, if we have kept growing the way we were growing. The question is really more about the absolute value. It's really the vitality of the market. Is it going to recover or not and at what speed and with what magnitude? Personally, if you look at the next 5 years, I believe there is room to grow in China. I believe there are untapped opportunities in China, even though I know that this year and maybe next year would be challenging. I mean the middle class is still growing and growing fast. We are in a great position with our cognacs. E-commerce is still delivering opportunities and so on. And plus, we have this geographical expansion. So I still believe that in the next 5 years, there's a lot to do. I also believe that in the U.S., once the trend fully stabilizes, there would be an upside on the volumes, which will be probably even more than the sellout and that we will have to control. Plus we are now starting to work on the rest of the portfolio and on some other markets, which for some of our competitors are already big and not for us yet. If you take, for instance, South Africa or Nigeria, which are in the top 3 markets, at least for South Africa for some of our competitors, far from that for us, but the brand equity is strong there. So we have a plan that we had -- didn't have 2 or 3 years ago. So for me, the question is much more on the top line than on the 72% and the 33%. And I believe that on the 5 years, probably less than what we anticipated on the top line, but more or, let's say, less cost, a combination of less top line than what we would have thought 2 years ago and less costs as well can still help us achieve this target.
Luca Marotta: I'll handle it, if I understood correctly. The question of Ed is the last round of saving or not. We are not in a deep restructuring, harsh cost-cutting mode. We are in a continuous improvement, rightsizing, flexible and fluid environment. This is our mentality. So to answer indirectly to you, as you understood, the second part of the year, the compounders, the marginal profit and loss will be clearly highly deteriorating compared to the H1. Why?  Because we are investing more. Gross margin will be far less accretive also because of some saving even more for the mix of the second part of the year compared to the first part. And overheads are already profiting of a big part of the saving because of the phasing of the round of last year. As a consequence, at full year to reach 21%, 22%. So we are talking about 3.5% to 4.5% margin decrease. It is guided by the weight of the overheads at the end because more or less, the decline on a yearly basis of gross margin will be absorbed a little bit less by the A&P because we increased in the second part of the full year. The decline will be more or less offset, maybe 20, 30 basis points less. And then the hit is that overhead, even if we decrease big time compared to the top line of the year, which is depressed, minus 15% to minus 18% after minus 19% last year. In some countries, we are at more or less 50% of the weight 3 years ago, makes an impact. What does it mean that we cannot exclude continuous improvement of the cost base, but we can exclude at this stage, big restructuring moves or a change of DNA of the group going more harsh way as far as I speak. So the mentality is to be consistently on the ball to try to give in terms of fuel your flexible means, the maximum fuel we can to the business, repeating that the clear point is the top line. We need to improve the top line. So we are not committing not to create any saving anymore. It will be something that is demanded by the business. One -- another technical point I always highlight with �ric, saving like gross savings is not net saving, meaning the part of the savings I already reinvested. I pointed out on purpose that compared to 5 years ago, we had the ability to create new capabilities like the data mining teams, like the digital transformation. And we really are trying to add, as I said, in a provocative way, in a funny way, another key pillar to our religion, which is cash is king because we are creating that. We are selling in 7, 8 years, what we will buy now. But data is queen, also even more important in this very volatile and predictable environment.  It is correct.  It doesn't matter.  It is consistent, gives you some hints that's much more important. So I hope to have an answer to your question. We are not committing not to cut anymore in terms of fluidity to give more means to -- and more chances to the top line to develop. Top line also linked clearly to depletion.
Edward Mundy: Thanks, Luca.  That's helpful context. I mean I think what I was also hoping to try and understand is we've obviously been through the big boom. We've had the challenges for the industry in the post-COVID environment. Revenues are sort of getting back to net 2015, 2016 levels, profits are getting back to pre-pandemic levels. Do you think we've had a deep enough rebasing at this stage after what we're going to go through this year with the end of the destocking probably within the U.S. and the reinvestment that you're putting in today ahead of the future?
Luca Marotta: Yes, it is our hypothesis, building on Blocks. we are not back to 15%. So the block are quite solid. So considering the impact on the top line, it could have been far worse in terms of profitability, in terms of profile of profit and loss. So we are building on a situation in which we have lost a lot of absolute value, but the spine, the DNA of the company is really always looking forward to reach the objective we are committed and a substantial restocking, very strong one in the U.S. when depletion selling will be aligned, and we are improving on that. It's not clear when. We -- you don't have to consider it tomorrow. Q3 will be a very negative one overall, for instance, it's important to say that. But it's the right movement. And on top, maybe we are not -- we are a bit optimistic maybe in your opinion, but we are really counting on it. We think that despite the lack of confidence in the Chinese -- in China, we think that we are a competitive advantage for many, many reasons that �ric explained and on top also, as said, with our team compared to peers. Europe is more volatile. It's more complex to forecast, but at this stage, it is the reverse positive point of the weakness. It is not so important for us. So we are building on this block to continue to pursue this journey.  And one last word.  This guidance of 29%, 30% is based on 2 key points. One is the top line high single-digit back in sales starting from next fiscal year, counting clearly on the U.S. and better than peers' performance in China, I can add. And on bottom line, a progressive not symmetric come back to the profitability, meaning that if MOFCOM decision will be confirmed, we will put in place all the measures we can to try to offset it, but maybe it will not be in year 1. So it is progressive. It's not symmetric. Everything is taken in this kind of context. But at this stage, we clearly believe in our midterm guidance.
Operator: [Operator Instructions] And up next, we have Laurence Whyatt from Barclays.
Laurence Whyatt: A couple for me, if that's okay. �ric, when we were talking a number of years ago before the pandemic, sort of remarking that your sale price of VSOP in the U.S. was at a very similar level to Hennessy's VS products. So both were around the $35. And I remember you talking around the concern of taking too much of a price premium to Hennessy's VS products as a result of sort of leaving the low end of the cognac market open to Hennessy as a player on its own. Now today, when we look at the price points of the 2 different products, yours is much closer to $50. You mentioned $49.99 after the price adjustments you've been making, but Hennessy is still slightly north of the $35 level. We see a sort of $36, $37 a bottle. Does that concern you in any way now? Has your view changed that you're quite relaxed about having a quite large price difference between the products? Or do you think there needs to be some sort of further adjustment to your price? And then secondly, on your balance sheet, when we look at the inventory level at R�my Cointreau, if you compare sort of today's inventory values to pre-pandemic levels, we're looking at nearly twice the value of that. And if you look on inventory day levels, again, it's about twice the level of inventory versus your sales. Now of course, your sales have taken a bit of a hit in the sort of post-pandemic hangover. But do you think your inventory levels of your own aged inventory is at the right sort of level? Or do you think there are any adjustments need to be made there?
Éric Vallat: Let Luca answer question number 2. Just one comment for question number 2. Don't forget that when you compare to '19, '20, you look at sales, but you should also look at depletions, which are better, the real end demand. So coming back to question one, I think there was a misunderstanding 5 years ago because, in fact, I'm happy, and I've always been happy with the idea of VSOP being at a premium price point versus VS. I think what I said at that time is having said that, we need a minimum volume of VSOP to support the investment to fuel the upper grades. And that's where probably, again, we've been, let's say, as I said, going downwards too much on VSOP. For me, if you ask me, it's the opposite 5 years ago, if I'm -- our competitors, I would say, look, we are selling our VS at the price of VSOP. What does it tell about the brand? I don't think it's positive for us. I think it's very important that our VSOP recovers a price point that makes sense versus VS. And we had probably made the mistake in 2009, and it's easy to say in my position today, but to lower VSOP price to enter in a corridor war against any, say, VS to be specific. I think this was a mistake because we cannot fight with the same weapons. We don't have the same weapons. There are 5 million cases.  We are much less.  It's not the same liquid. Ours is aging more because it's a VSOP. So I think it's good that they repositioned. What does it mean?  It means that if you compare to 2 or 3 years ago, indeed, our volume ambition in the long run is probably less than it was 2 years ago. It still can, I believe, drive the plan ambition that we shared for 2030, but with less VSOP than what we probably would have anticipated 2 years ago, even though in 5 years, a lot can still happen. So I am, to answer your question, comfortable with this price point. I am also aware that it means that the target with VSOP in the long run is not 2 million cases. I don't think it is the bad thing if you look at the next 20 to 50 years. We were short of stock 2 years ago. I know it sounds strange to say again now in the context, but it will happen again in the future. And voil�.  So for me, yes, VSOP repricing -- not repricing, but positioning versus VS today is, in fact, a good thing. It's been painful more than what we anticipated for sure. It has driven more cost savings than what we anticipated to protect pricing. But last but not least, I also believe that consistency in pricing is a way of A&P because it's contributed -- contributing to brand equity in the long run. When you're a client and you see our prices changing, you end up losing trust. I think that this price consistency is a way also to contribute to the equity of VSOP. So voil�, that's my view today. Of course, very U.S. driven, but a big share of the volume of VSOP is made in the U.S. By the way, just to say on the U.S. also, sorry, just to make sure everything I said is well understood. So we do see signs of recovery, stabilization and so on. It's very early signs. As to the timing, it's hard to say. And as Luca said, it's -- you have sell-in and you have depletions. And the sell-in will remain tough for Q3, as you explained, Luca. Q4 will be much better. Depletions, voil�, October was quite encouraging. Let's see how it goes through the rest of the year. But indeed, these are early signs, but they are there.
Luca Marotta: So now with the VSOP rightsizing that we don't like it. But in terms of footprint of the ODV, it's something that's much more balancing that. So this specific, if you want to take it in a harsh financial way, increase of working capital, which is hitting the return of invested capital momentarily, is something that we can consider very strategic, much more strategic of a loss of EUR 1 million on a given freestanding store for a luxury brand that accept to have in the short term. This is quite the same thing. They are losses, they are strategic investing for the future. And the most important one for us so -- and we are really convinced on that is investing in serious building of stock for the future, for the recovery, not betraying our DNA and not betraying our engagement. we might be adjusted, but we are not betraying our soul.
Operator: And our final question for today is coming from Trevor Stirling of Bernstein.
Trevor Stirling: Two questions from my side. One, just looking at Q3 and Q4 and �ric and Luca, you emphasized that the sell-in is going to be negative because of the comps. But if I look at the October NABCA, as you said, it's very encouraging, you could almost dream that depletions might be flat in Q3 based on what you've seen in November. Is that a ridiculous dream or that's something that is a possibility? And the second question, just digging in a little bit more to the margin compression in H2 that is implied in your guidance. Is that all coming from increased A&P? Or are there other factors at play in terms of that? And I suppose increased A&P, I think, �ric, you said a lot of it is going to go into BTL. Does that imply also some price promotion element about BTL?
Luca Marotta: I'll get the second one in a combined base, the first one. You start with the first one.
Éric Vallat: Okay, then if you want, you can start.
Luca Marotta: I continue on the sell-in basis and then I give the mic to �ric. Sequential deterioration Q2 to Q3 in China. China is better in this moment in depletion than sell-in because of lack of confidence, because also Chinese New Year is entering even if with a very healthy level of stock, they are a wait-and-see attitude and MOFCOM is not waiving on our result for this year in terms of impact, is waving in terms of confidence, is waiving in terms of attitude of the wholesaler, the indirect part of business in China to take some additional stock because they wait and see. I can understand.  Does it mean that can be different in the short term?  Difficult.  It can be a bit different in Q4. But remember, issue of depletion and sales, depletion mainly, comp in the Q4, the reverse of U.S. Remaining part of the world, GTR in Europe and the rest of the world should improve sequentially. It's less negative than the other, but it's far more unpredictable, a far more low part in terms of positive and negative result oriented than the remaining part. So I repeat part of the sell-in global yearly guidance is linked to the very, by far, negative Q3. Q4, better.  How much?  Between 15% and 18%. That's the reason why of the quite large fork. Bottom line, we are concerned, less. Otherwise, I will shoot with �ric a more -- a larger fork on the bottom line, 21% to 22% we are committed on that.  I don't know.
Éric Vallat: No, not much to add. You've said it all almost, Luca. Just maybe to comment on your, we can dream of positive depletions? First, we can always dream, which is good. Second, to give you some color, we start seeing some positive months and then a negative one. If you look, for instance, at October, indeed, it's quite encouraging. November because of Thanksgiving being later and 1 day less will be more in a negative territory, but we expect December to be rather good. So that's why I'm saying it's too early to say that we are back to positive depletions. But it could be in the coming months that the challenge is more on sell-in than on sellout. It could be that it starts balancing differently, which I wouldn't take as a bad news, but it's probably a bit too early to be very affirmative there.
Operator: And with that, I'd like to hand the call back over to the management for any additional or closing remarks.
Éric Vallat: I'm told not to say anything, but I'm going to just to say a few words. Now just first to wish a happy Thanksgiving to the potential American friends, if any. And just to say, as you have understood, I think the semester shows a strong resilience of our profitability, which is the consequence of 2 years of continued work and optimization indeed. And as you can see as well, we expect a rather tough second semester driven more particularly by Q3 in sales, but there are some encouraging signs. Let's wait for more color in the coming months. It's too early to claim for a recovery, but at least probably at the beginning of a stabilization. Thank you very much, and have a good day.